Yoshitaka Kitao: Thank you very much for joining us today, despite your tight schedule, there's a big turnout online. Thank you very much for that. This time, we are going to present the first nine months results and on behalf of Mr. Kitao, let me begin. So consolidated performance revenue ¥1,013.3 billion and the profitable income before tax, ¥179,378 million, profit for the period, ¥129,790 million and profit attributable to owners of the company at ¥101,157 million. So it's over ¥100 billion and currently annualized ROE is over 10%, more precisely, 10.3%. This is the other pretax income comparison with major securities groups. We are overachieving the Daiwa Securities and following Nomura Holdings. Next, by segment. As to revenue, Financial Services business, Asset Management business and Crypto-asset business hit a record high for pretax income. The record highs were recorded by Asset Management business and Crypto-asset business after the U.S. presidential election, the crypto-asset market was very robust. Year-on-year 9x the pretax income was ¥18.1 billion. I'm going to give more details later on. This is shareholders benefit. XRP and ALA selection is provided to the shareholders. In the past, we used the XRP for the five the benefits, the payout. And if we had kept those XRPs, the ¥50 is the weighted average unit price. And currently, it stands at ¥354.6. Now namely approximately 7x. So those people who chose the XRP now have ¥100 or so other value. So if they kept it, the value is now 3.5x the financial services business, ¥867 billion record high revenue. And the pretax income is about ¥170 billion, the very good performance. Major factors banking business, about ¥100 billion. Year-on-year basis, up 88.8%. For Securities business, ZERO Revolution. The lost income -- there was some lost income, but that was overcome with the ¥61 billion or up 19.6%. First, Banking business, SBI Shinsei Bank consolidated performance on the J-GAAP basis. As the ordinary business profit already in the third quarter, ¥100 billion mark was succeeded. In the previous year, for the first time, 13 years ¥100 billion was exceeded. And this year, we achieved it in the third quarter. Of course, there are some other one-off the profit. Even with that, the group synergy helped considerably to improve SBI Shinsei's performance. As to IFRS basis, pretax income is ¥76.7 billion or 147% up year-on-year. SBI Shinsei's total amount deposits and number of accounts, retail accounts, ¥6.5 trillion is the number before joining the group. In about three years, it increased to ¥13.6 trillion, more than doubled and the number of accounts, 3.74 million. So it is increasing very smoothly. This is operating asset balance. Before joining the group, ¥8.2 trillion. And from there, good synergy that was leveraged to reach ¥13.5 trillion. Next, SBI Sumishin Net Bank situation. Ordinary profit on a J-GAAP basis, up 6.5% year-on-year at ¥26.7 billion. And IFRS basis, currently, equity ratio is 34.21%, so ¥4.4 billion. SBI Sumishin Net Bank deposits and number of accounts since the opening, both of them have been increasing steadily. Their demands exceeded ¥10 trillion mark and the number of accounts will soon reach 8 million, especially most recently, the increase that is significant. SBI Savings Bank in Korea. Compared to other savings banks, which are struggling from investment in real estate. SBI Savings Bank, discontinued their investment in real estate. So already they are showing some sign of recovery. They have come to the end, more or less the aggravation of loan credits. The ¥0.6 billion or up 25.1% year-on-year on the IFRS basis. As to delinquency, 4.97%. This is the lowest in the industry. So the aggravation of the credits have come to its end. The policy rate has been raised very recently, and impact coming from that is shown here. Of course, it depends on how to calculate. It's somewhat different, but the ¥2.8 billion impact for the SBI Shinsei Bank for FY 2024. And for SBI Sumishin Net Bank, annual impact -- full-year impact with 0.25% increase in policy rate is about ¥14 billion. And this bank what is do in mortgage business. So after the policy rate is raised, there are some time lag for them to raise their own the other rate. And the restart time line concluded do we calculate it on a full-year basis. Next, Securities business. SBI Securities consolidated results on J-GAAP. For all the profits kick the record highs, especially for the second quarter, policy reset provisioning accounted ¥2.6 billion of extraordinary losses. And even with that, they hit the record high. The ¥28.5 billion or so, of the lost earnings coming from ZERO Revolution, but we have overcome the lost earnings by diversifying sources of earnings on a year-on-year basis, we increased our revenue. And previous fiscal year, it included the after the ZERO Revolution implementation. And even after that, we are increasing revenue. So after the start of ZERO Revolution, the trend of quarterly revenue. Already after the revolution on the left-hand side, but this -- the light blue portion, which is very, very thin. This is the fees that we lost because of the ZERO Revolution. And after the launch of ZERO Revolution. We have been diversifying revenue sources increasing. For example, our financial and trading revenue. Especially for financial revenue, the open interest credit balance in August last year, the market -- equity market crushed, and temporally it went down, but currently, we are seeing good recovery. Currently, ¥1,921.4 billion, or plus 25% year-on-year. And trend of financial revenue, in the second quarter, the bar was highest. This is after the crunch in August on the other three years the average balance basis that it was -- it turned out to be the highest. And October, November, December, there was a downward trend, so the revenue temporality declined. But we are seeing recovery, and we can expect this to be good revenue sources, again. And this is commission income from foreign stock trading recently AI-related names, for example, NVIDIA, or Tesla by Elon Musk, the trading of these names is increasing. And the spot trading up 80% year-on-year for spot trading -- or margin trading year-on-year basis, 3.6x. So significant increase is observed. And along with that, commission income is increasing, actually hitting the record high. The trading revenue situation. This is for the first nine months of the year. At this time, the record high was hit the foreign bonds and FX-related income are increased. Also investment trust balance and the investment trust fees, stock revenue, they hit a record high ¥17 trillion, a good high. From the investment trust fees, now come to very close to ¥4 billion record high. So next is about investment trust sales, which is shown on a quarterly basis. For Q3, we were at ¥1.8 trillion and trust sales, which is far higher than other companies. Especially for the month of January, we recorded record highs which is close to ¥1 trillion for investment trust sales. And going forward, we expect the balance is expected to further increase. For the investment trust savings account settings, as of end of December, we were at ¥260.1 billion or close to ¥3 trillion on an annualized basis that is expected. So going forward, on an annual basis, we expect growth to be increasing by ¥3 trillion. Therefore, we believe the fee income will also increase. And for savings, this is not likely to decline regardless of changes in market. That was what we saw back in August last year. So next is the IPO underwriting ratio, our share was at 90%, which is leading the industry. So due to the ZERO Revolution, here is how our customer base is. In 2019, June, we announced that fees are going to become free of charge. Then after the number of accounts significantly increased and we are currently at 13.66 million accounts. For share of individual trading value, regarding this part, both have been exceeding 50%. For individual stock trading value, we are currently at 56.3%. And for individual margin trading value, we are already close to 60%. So if you also include institutional investors on top of individual investors, the share trading value is shown here. The top is at Nomura at 20%. And after the ZERO Revolution, in the case of our company, our share has been rising and now we have are at 15%. And regarding the balance, we have been seeing an increase. We're just at ¥46.7 trillion of assets under custody which has went up by 40% year-over-year. For FX trading accounts, the customer base increased through the ZERO Revolution, and this has been contributing to FX trading accounts as well. For the five FX trading-related companies, we are by far the leading company. So next is about the insurance business. For the insurance groups that are listed, this is a preliminary result but we have been seeing higher ordinary income and higher ordinary profit and profits have been up steadily. For in-force contracts, CAGR is close to, on average, 15%. Next is about the Asset Management business. Both revenue and profit before income tax expenses have reached record highs for profits. It was ¥4.3 billion, up by 25.8% year-over-year. For SBI Global Asset Management, this is a listed entity. On a J-GAAP basis, at all levels, we were able to reach record highs. Revenue went up 13 periods in a row. And for ordinary profit growth, it was 16 consecutive periods in a row that we were able to increase. Other than that, RHEOS HIFUMI and Okasan Asset Management that are group companies, both entities performed well and continued their risk performance. For Okasan Asset Management, after they joined the group, we have been implementing measures and for profit, it was ¥973 million, up by 160.2% year-over-year, which was quite substantial. For AUM for the group, we are approaching ¥11 trillion. So stock income is important. So we are striving for ¥20 trillion by the end of fiscal '27. So total net asset value rank, we have joined the top 10 on a group-wide basis as a group. For the investment business, for Q1, Q2, negative trends continued -- losses continued, but for the third quarter, due to several names, we were able to see valuation gains. Of course, there are many names that we carry. So some of them generate losses, but valuation gains exceeded losses, and we were at ¥17.2 billion for profit before income tax expense. And for profit and loss from the change in fair value and profit loss on the sale of investment securities, we were at ¥20.9 billion. For M&A, last fiscal year, the number was 21, but prospects for '24 is 24, and we have been able to realize 18 companies for IPO and M&As during this fiscal year. Often, we are asked the question about Ripple. From our point of view, we are -- we own approximately 9% based on actual holdings as the largest external shareholder. And they were established in 2012 September, in several years' time, SBI Group invested in Ripple. And around the same timing, we established SBI Ripple Asia for international remittance businesses. And SBI Remit started providing Japan's first international remittance service using XRP. And the sales started for USD-linked stable coin as well this year. And for XRP in the last three months, prices has been going up. And there are many people who have a misunderstanding about XRP. So I would like to explain the maximum supply is ¥100 billion XRP, out of which the green part or the light green part, this is the XRP that is circulated, which is about 60% of the total or close to 60%. So when people talk about market capitalization, this is the part they're talking about. On the other hand, the current Ripple's holdings are the bottom part. The direct holdings, which is bought and escrow part, which is there is a limit to selling. So that part is 40% of the total. And for SBI Group, we don't own XRP. We own the shares of the Ripple. So regarding share evaluations of Ripple, if someone were to do a substantial trade or if there were to be an IPO and the shares were to be priced. And that reflects the value of XRP, that will be reflected on us. However, unless that happens, it will be hard for us to change the valuations of Ripple. This is AUM of SBI Group, it's ¥824.4 billion for private equity. Next is crypto assets. In light of the presidential elections in the U.S., the crypto asset market globally picked up. In light of these trends, for revenue and profit before income, we were able to reach record highs. And for profits, it was 9x more year-over-year at ¥18.1 billion. And for our crypto asset business, if you look at the graph at the bottom and the line, this is the -- this represents the quarterly revenues from the SBI Group's crypto asset business. And for the bar chart, this is the quarterly BTC Bitcoin trading volumes on the world's leading crypto-asset exchanges. So you could see that it moves in conjunction with one another. B2C2, which is the biggest liquidity provider, we have ownership. And so with the more trading volume for crypto assets globally, we believe our earnings will also pick up. Here is the NextGen business. It was ¥10.9 billion negative for profit before income tax expenses. For the first two quarters, one-off losses. And for this segment, we own equity-accounted companies that went through an impairment loss. And due to this impact, we saw huge losses for the first two quarters. But in the third quarter, the loss is contracted. On the other hand, we are still making advanced investments into the digital asset area. Also SBI ALApromo also belongs to this segment, and we are currently preparing, striving to bring this company to market in fiscal '25. So next, I'd like to talk about SBI Shinsei Bank, I would like to talk about putting it into the issue of repaying of public funds, which is SBI Group's position as a great cause. So SBI Shinsei Bank's ordinary business profit after they've joined the group has significantly improved because the ecosystem was leveraged to its maximum. We were able to exceed ¥100 billion as of the third quarter and nine months. Although it was ¥100 billion for one year, last fiscal year. And for the midterm plan -- and the targets for the whole year for FY 2024 was ¥74.6 billion. And in nine months, we achieved ¥70 billion. And although they joined the group with ¥20 billion or so. And so it's likely that they will hit 4x the level of the profit. So this is the ownership situation. As the release at the end of last year, currently SBI Group and the government organizations, two of them. So the 77% is the group's stake ratio. And based on that, and we are working on repaying the public money. Partly, when the squeeze out the process last year, about ¥19.3 billion was paid -- repaid. And currently, we have ¥330 billion left. So the ¥100 billion, that is going to be repaid upon the approval from the government and that will happen within this year -- fiscal year, and that is our target. And the resources, the SBI, the Shinsei is going to use the ¥50 billion, and the remaining is ¥50 billion will be paid by the SBI Holdings, and that will leave ¥230 billion left. And for that currently, we are working on the definitive repayment scheme. And on that, we would like to come into the agreement with the government. As soon as possible, originally, it is by June this year, but as early as possible, we would like to agree with the government. And going forward, once the path of repayment becomes clear, then we are going to start preparation for reviewing the relisting of SBI Shinsei Bank. So now I would like to talk about our strategies going forward. In various areas, we achieved dramatic growth of the group by causing creative destruction in various areas. The [indiscernible], the creative destruction and based on other four types of competition that are important in capitalism is the basis of the thought. And in September '23, we started ZERO Revolution. That is the starting point. Before that, that it took ¥82,500 for ¥10 million of the contract money. That is the fixed fee level. So it was really a creative destruction to cause the structural changes of the industry itself. As a result for the customers, for some customers' investment that had a rather high hurdle. But with the ¥0 the commission lowered that hurdle. And of course, combined with the start of new NISA program. In addition, there are some new products, SBI Wrap, the FOLIO, the group company really put 4RAP, we use that. And that is the automatic management system platform service. And after the service is launched, the ¥200 -- ¥130 billion that has already been reached with 150,000 account numbers and the other asset under custody reached ¥57.4 billion. And if we look at 2014 to the comparison, the current level is about 3x and April 6, 2024, still in that comparison, the actual number is doubled. SBI Wrap, Part 3. With our asset management, we are doing this. It is left Wrap has already been launched. So it is leveraged investment trust. Looking at market conditions, automatically, leverage is just that is the LeveNavi course. And based on the risk appetite of the customer, you can choose LeveChoice course. Also recently, the equity index, the trading is becoming more common. So the commodity and equity index and the crypto assets in the OTC basis, CFD is being prepared. SBI SUS high dividend equity fund, run by SBI Asset Management and sold exclusively by SBI Securities, it exceeded ¥100 billion only in 20 business days. And currently, trust fee is 0.1238% per year, and it is growing rapidly. Other than that, among group with Man Group, SBI-Man Liquid Trend Fund is provided. And here, the commission is less than 1%, the lowest in the industry and already ¥17.8 billion, exceeding ¥17 billion mark in short period. And with KKR private debt, it is being more of the forecast in the mass-media report. And we have already started to offer this the vehicle to domestic, the institutional investors with 12% annualized return, and we are currently viewing to deliver the same product to retail customers. And in the U.S. the crypto asset, ETF is already launched in Japan, there's a possibility to do the same. And for that, we are lying with Franklin Templeton. Once this product becomes available, we are now preparing our own product. So with various partners, we have been working to deliver products that satisfy the needs of different customers. There are many investors who just started investment with NISA. And the day in day out, we are developing various products for different types of customers. Especially for those who are inexperienced in investment, the hurdle is high. And SBI Securities has set up the financial education promotion office and at customers' request, we provide seminars at the government offices or the private organizations. Through January 31, 2025, we held a total of more than 1,000 seminars, and we would like to approach potential SBI Securities clients through financial education. And a wealth adviser, the group player. And here, collaborating with various organizations. We provide information. Last year, we had 11 fares with 85 sponsoring companies and with more than 3,200 visitors. Next, new technology from new technology aspects, I would like to make some comments. So financial ecosystem we have been providing services for the securities, banking and insurance. And going forward, digital space is going to be more important. So currently, we are now focused more on building a digital space ecosystem. VC trade, exchange or BITPOINT when the market make the other side of the coin and the project issue us with courses, custody and others. In different aspects like this, we'd like to provide different products and functions. In particular, Web3 and crypto assets, the Trump administration is very favorable attitude is having a very favorable attitude to these things. And they have -- he has already signed an executive order titled strengthening American leadership in digital financial technology, and we are very interested in whether such the policy is going to be put in practice. For example, the President's working group on digital assets markets was established or evaluate the possibility of creating a national stockpile of digital assets. And very importantly, Mr. Gensler, the Chair of the U.S. Securities and Exchange Commission the exited resigned, he was rather hostile approach to crypto assets. And now Mr. Atkins is very likely to be the next Chair. And CBDC, Central Bank Digital Currencies, it was prohibited and to promote dollar back to stable coins. I'm going to explain about dollar bank backed at the stable coins later. And this is going to be very important going forward. On the back of Mr. Trump, the policy there is some impact in terms of the number of accounts in all over Japan, which is exceeding 10 million marks for crypto asset and basic trade and Bitcoin and the number of accounts as of the end of December and 1.1 million or the increase, up 15.3% and on a quarter-on-quarter basis and ¥600 billion was exceeded in terms of assets under custody as of January 1st. Going forward, as stock revenue services, we can count on the staking service. As you can see in this graph in the crypt asset market, which is being very robust and with increase in large launch transfers that it is improving and the SBI VC Trade staking revenue is also growing very rapidly. And as to the volume with the crypt assets that we treat, DMM Bitcoin, the transfer of accounts and assets will be explained later. And with that, 14 names will be added to satisfy the needs of the customers. And this year, as we made a release on -- as of March 8, from DMM Bitcoin, we will be transferring the accounts as well as the assets under custody. There's about 0.5 million accounts or ¥100 billion in assets under custody. If it increases up until March, even more, we believe the number of accounts will increase up to about 1.7 million in total. The largest crypto asset market maker, B2C2 Global because of the global trading volume increase the revenue has been increasing. Looking at the line, this is quarterly revenues for B2C2. And the bar graph is a major global crypto asset exchanges, trading volumes for Bitcoin USD on a quarterly basis. So we believe that if the crypto asset industry picks up even more, we should see higher revenues going forward as well or with Circle in the U.S., we are working together on U.S. deal in stable coins. Currently, preparation are in the final stages. Within the fiscal year, we are working with the regulators and circle, so that we can issue it for the first time in Japan. SBI VC Trade is applying for a license for electronic payment instrument service provider. So once we acquired the license, we would like to start our operations. And our company in order to handle USDC when it comes to the licenses, whether it be the bank, trust bank or crypto asset exchanges, we have all of these entities within our group. Therefore, we are in a condition where we can be the Japan's first company to handle USDC. And the other day, we made a press release around Solaris in Europe, and we have decided to turn it into a subsidiary. Going forward, we are waiting for regulatory approval from the existing shareholders, we will be buying out the shares, and we will be making investments together. And at most, our ownership is likely to be up 86.7%. And Solaris was established in 2015. And Banking as a Service is what they've been doing. So they are one of the major banks nowadays in Europe. And together with ADAC, they are working on a credit card program, and they have started to generate earnings from this business. And we also invest into Boerse Stuttgart Group. And through the subsidiary, we are supporting the expansion of Solaris' customer base and increasing corporate value through utilizing the SBI Group network in Europe. So in the case of digital asset of a concept of country borders, is disappearing. So in various countries around the world, we are making investments into these entities. For example, ODX which is Japan's first PPS to handle FT. And in Switzerland with the SIX Group in Singapore, we established AsiaNext, a digital asset exchange for institutional investors and also for Singapore, SBI Digital Markets as another company. And together with Sygnum Bank, in Thailand, we have set up this entity. And we offer tokenized products such as bonds, real estate and real assets, which has just started. Also in Switzerland, the first digital asset bank in the world, Sygnum is an entity we have invested into. So through these efforts, in the digital asset area, we would like to promote the business on a global scale. For new markets, next, I'd like to talk about new markets, one focus area is iDeCo and company type DC. In December 2024, the fiscal '25 tax reform was set forth, which is expected to further expand iDeCo as a program and the contribution limit. So we are expecting further growth and progress around iDeCo. So this is one estimate we did if you were to contribute for 20 years, ¥50,000 with NISA, the right-hand side shows iDeCo on the other hand, and let's say, you contribute ¥50,000 on a monthly basis for 20 years. Looking at the difference because there is favorable tax treatment for iDeCo, it creates the difference. And for iDeCo, withdrawing, you are not able to withdraw money when you need it. So from that point of view, we believe combining NISA and iDeCo together is desirable. So SBI Benefit Systems covers the iDeCo and corporate-type DC business. And we were anticipating this kind of situation, and we've started to focus on this business since 2001 when we established this company. And in 2017, we made the iDeCo administrative fees completely free of charge. And due to these efforts, CAGR or the number of subscribers have went up -- went up by 31.1% CAGR. And now the number of subscribers is at 1.3 million. And the balance for investment trusts have also went up substantially -- for individual DC and the number of customers, we are currently at the top of the industry exceeding 1 million. Also, security companies, banks, we have been partnering with them to increase this business. But now here for -- we have been collaborating with Okinawa Prefecture's Mutual Aid Association for agricultural forestry and fisheries. So we are approaching new entities so that we can contribute to asset formation for a wider range of customers. So next, I'd like to talk about the effects caused by the TSE's concentration. We have two PTSs in our group. And of course, there are other PTS in Japan, but many are not connected with the brokerage firms. That's the case. Executing trades with the most favorable conditions, is that is actually being realized as a question mark. And also, when you think about resilience of security market in October 2020, there was a major failure at the TSE, a system failure. If PTS utilization was the norm, this failure could have been averted meaning we could have averted a complete market shutdown. Going forward, in anticipation of deregulation, we would like to focus on acquiring trading flows through our group's PTS, especially if there's deregulation for auction-based transactions, we would like to reinforce that work so that we can acquire the flow within our group. Also, in the U.S., payment order flow is a general practice, so we would like to lobby for its introduction in Japan. In the U.S. in order to eliminate the PFOF uncertainty and in fairness, the system has been deployed, developed to realize best execution and pricing improvement. So we will lobby so that this can also happen in Japan. Earlier, I touched upon this topic, but in the U.S. crypto asset ETFs are already allowed. So together with companies in the industry, we have come up with a published proposal, especially for the very bottom, which not applies just for ETFs, but for crypto assets overall, we are asking for separate taxation by declaration because right now, a considerable amount of taxes are being imposed on the individual. So this is something we would like to change. Also for crypto asset ETFs in anticipation of deregulation of the future, we have started to consider what kind of opportunities are out there. So next is about the art auction area for high net worth customers or people, they are talking about art and we originally had an entity called SBI Art Auction that mainly focuses on a contemporary art. It handles a wide range of contemporary art works. And recently, we acquired 20% of Mynavi Media equity-accounted company and they have a company called Mainichi Auction. It was founded in 1973. And from 1989, they started public auctions. So they are a well-established company. We have concluded an agreement to establish a joint holding company. We would like to develop new markets by capturing the diversifying taste of various generations and their interest in artworks as asset formation and develop new markets. The final topic I would like to cover is about utilizing social media or Internet media to create an ecosystem that converges Media, IT and finance. So first is about the rise of Internet media such as social networking services. Looking at the very bottom, this is for the condition of all generations. Online or Internet has already exceeded television when it comes to average media usage time. And even for the high age bracket, more than we thought, they have adopted the Internet. We have been looking at various pieces of data, people in their 50s and 60s also watch a considerable amount of YouTube. And apparently, they use social media according to recent data. On top of that, recent elections, whether the U.S. Presidential election or the elections that happened in Hyogo Prefecture, the candidate that embraces social media or SNS strategies have been able to win the election. For example, Mr. Trump has been appearing in 20 podcasts. Also for the Hyogo Prefecture gubernatorial elections, according to an NHK exit poll asking the question about what people refer to, 30% of the responses said SNS or video sites, which exceeded, 24% respondents have said newspapers or TV. So when you consider these circumstances, we think we have to put emphasis on SNS strategy. Of course, our respective companies have been communicating through social media by a certain degree already. However, we should have a unified approach as a group is what we're thinking, so that we could have better proficiency. Therefore, we have set a specialized team focused on SNS, comprised primarily of young talents who have a high proficiency in social media firms. On top of that, for the financial IT area, we have strength, but we would like to converge with media so that we could evolve even more in recent news, for example, around Mr. Trump or Elon Musk, they're talking about X and Trump Media, and they were talking about convergence of finance. So that is what we would like to also strive to do so that we can reinforce the strength of our group. That is all for me. Thank you.
Q - :